Operator: Good afternoon. Thank you for standing by. Welcome to the Westlake Chemical Partners LP Fourth Quarter and Full Year 2024 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in the question and answer session. As a reminder, this conference is being recorded today, February 24, 2025. I would now like to turn the call over to your host, John Zoeller, Westlake Chemical Partners' Vice President and Treasurer. Sir, you may begin.
John Zoeller: Thank you. Good afternoon, everyone, and welcome to the Westlake Chemical Partners LP Fourth Quarter and Full Year 2024 Conference Call. I am joined today by Albert Chao, our Executive Chairman, Jean-Marc Gilson, our President and CEO, Steve Bender, our Executive Vice President and Chief Financial Officer, and other members of our management team. During this call, we refer to ourselves as Westlake Partners, or the Partnership. References to Westlake refer to our parent company, Westlake Corporation, and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake, and the partnership, which owns certain Olefins assets. Additionally, when we refer to distributable cash flow, we are referring to Westlake Chemical Partners MLP distributable cash flow. Definitions of these terms are available on the partnership's website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in our regulatory filings, which are also available on our investor relations website. This morning, Westlake Partners issued a press release with details of our fourth quarter and full year 2024 financial and operating results. This document is available in the press release section of our webpage at wlkpartners.com. A replay of today's call will be available beginning two hours after the conclusion of this call. This replay can be accessed via the partnership website. Please note that information reported on this call speaks only as of today, February 24, 2025, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at wlkpartners.com. Now I'd like to turn the call over to Jean-Marc Gilson. Jean-Marc?
Jean-Marc Gilson: Thank you, John. Good afternoon, everyone, and thank you for joining us to discuss our fourth quarter and full year 2024 results. In this morning's press release, we reported Westlake Chemical Partners LP's full year 2024 net income of $62 million or $1.77 per unit. Consolidated net income, including OpCo, was $369 million for the full year 2024. Westlake Partners' financial results continue to demonstrate the stability generated from our fixed margin ethylene sales agreement for 95% of annual plant production each year, insulating us from market volatility and other production risks. This structure, combined with our investment-grade sponsor, Westlake, produces predictable earnings and stable cash flows. This was evident in 2024 as we delivered another year of solid results and sustained distributions to our unitholders. The stable fee-based cash flow generated by our fixed margin ethylene sales contract with Westlake forms the foundation for us to deliver long-term value to our unitholders. This quarter's distribution is the 42nd consecutive quarterly distribution since our IPO in July of 2014 without any reductions. I would now like to turn our call over to Steve to provide more detail on the financial and operating results for the quarter and full year. Steve?
Steve Bender: Thank you, Jean-Marc, and good afternoon, everyone. In this morning's press release, we reported Westlake Chemical Partners LP's fourth quarter 2024 net income of $15 million or $0.43 per unit. Consolidated net income, including OpCo's earnings, was $87 million on consolidated net sales of $290 million. The partnership had distributable cash flow for the quarter of $15 million or $0.42 per unit. Fourth quarter 2024 net income for Westlake Partners of $15 million increased by $1 million compared to the fourth quarter 2023 partnership net income of $14 million. The higher net income was primarily driven by lower SG&A. Distributable cash flow of $15 million for the fourth quarter 2024 decreased by $1 million compared to the fourth quarter 2023 distributable cash flow of $16 million, due primarily to higher turnaround reserve and maintenance capital contributions to support the planned PetroOne turnaround. For the full year of 2024, net income was $62 million or $1.77 per unit, which increased by $8 million compared to full year 2023 net income of $54 million. The increased net income attributable to the partnership was due to higher third-party ethylene sales prices and margins. Our full year 2024 MLP distributable cash flow increased by $4 million compared to MLP distributable cash flow of $63 million for the full year of 2023, due to higher net income. Our distribution coverage for the full year of 2024 was 1.01 times. Turning our attention to the balance sheet and cash flows, at the end of the fourth quarter, we had consolidated cash and cash investments with Westlake through our investment management agreement totaling $193 million. Long-term debt at the end of the quarter was $400 million, of which $377 million was at the Partnership. The remaining $23 million was at OpCo. In 2024, OpCo spent $49 million on capital expenditures. We maintained our strong leverage metrics with a consolidated leverage ratio below one times. On January 27, 2025, we announced a quarterly distribution of $0.4714 per unit with respect to the fourth quarter of 2024. Since our IPO in 2014, the partnership has made 42 consecutive quarterly distributions to our unitholders, and we have grown distributions 71% since the partnership's original minimum quarterly distribution of $0.275 per unit. The partnership's fourth quarter distribution will be paid on February 25 to unitholders of record as of February 7, 2025. The partnership's predictable fee-based cash flow continues to prove beneficial in today's economic environment and is differentiated by the consistency of our earnings and cash flows. Looking back, since our IPO in July of 2014, we have maintained a cumulative distribution coverage ratio of approximately 1.1 times. In the partnership's stability and cash flows, we were able to sustain our current distribution without the need to access the capital markets. For modeling purposes, we have one planned turnaround in 2025 at our PetroOne ethylene unit in Lake Charles, Louisiana. This turnaround began at the end of January and is projected to last approximately 60 days. In prior years where we had a planned turnaround such as this one, the distribution coverage ratio is impacted for the period before recovering. And for this turnaround, we would expect a similar result. The cost of this turnaround has been included in the amount we charged to Westlake and has been fully reserved for and funded as we commence the turnaround. Now I'd like to turn the call back over to Jean-Marc to make some closing comments. Jean-Marc?
Jean-Marc Gilson: Thank you, Steve. We are pleased with the partnership's financial and operational performance through the fourth quarter and the year as a whole. The stability of our business model and associated cash flows demonstrate the benefit that our ethylene sales agreement and its protective provisions provide the partnership with predictable long-term earnings and cash flows. During 2024, North American spot ethylene prices and margins improved due to a tightening of industry supply-demand conditions. Through OpCo, the partnership was able to benefit from these improving conditions through higher third-party ethylene sales prices and margins. Thus far, in 2025, third-party ethylene sales prices and margins are again at relatively favorable levels, which would benefit our financial performance once again. Turning to our capital structure, we maintain a strong balance sheet with conservative financial and leverage metrics. As we continue to navigate market conditions, we will evaluate opportunities via our four levers of growth in the future, including increases of our ownership interest of OpCo, acquisitions of other qualified income streams, organic growth opportunities such as expansions of our current ethylene facilities, and negotiation of a higher fixed margin in our ethylene sales agreement with Westlake. We remain focused on our ability to continue to provide long-term value and distributions to our unitholders. As always, we will continue to focus on safe operations along with being good stewards of the environment where we work and live as part of our broader sustainability efforts. Thank you very much for listening to our fourth quarter and full year 2024 earnings call. Now I will turn the call back over to John. Thank you, Jean-Marc.
John Zoeller: Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available two hours after the call has ended. We will provide instructions to access the replay at the end of the call. Kevin, we will now take questions.
Operator: Ladies and gentlemen, if you have a question or comment at this time, please press star one one on your telephone. One moment for our first question. First question comes from Matthew Blair with TPH. Your line is open.
Matthew Blair: Thank you, and good afternoon, everyone. On the parent call, the WLK call, there was some talk about incremental cost cuts targets in 2025. Would Westlake be interested in ending the MLP arrangement as a way to cut costs further?
Steve Bender: So, Matthew, it's Steve. I would say that as we look at opportunities for the partnership, we look at really the value proposition the partnership has brought forward. And while there are incremental administrative costs to administer the operations of the partnership, as you look at the value proposition the partnership has provided to Westlake, it continues to provide value from a multiple perspective when you look at the EV to EBITDA multiple. So, therefore, while it is an administrative cost, the value proposition offsets that administrative cost. So for cost control reasons, that would not be a consideration.
Matthew Blair: Okay. Thank you. And then could you talk a little bit more about the expected financial impact from this 60-day planned turnaround? I think you mentioned that the coverage ratio would come down. So is the way to think about this as a temporary headwind on things like earnings per unit and cash flow?
Steve Bender: Yeah. And so if you think about this historically, Matthew, the coverage does take an impact from the loss of production during that period. Of course, from a capital perspective, we've already fully reserved and have funded this upcoming turnaround. And as we speak today, we're in the midst of that turnaround right now. So I would expect the earnings impact, but as the unit comes back on stream after the end of this turnaround, coverage ought to fully recover. And so as we look forward into 2025 and beyond, I expect the coverage target that we have set being 1.1 times, we should resume. If you go back over the many years, the ten years since this entity was formed back in 2014, we've had a number of turnarounds, and this is the exact type of performance we have exhibited, and I expect to continue this same kind of performance. This is not an unusual turnaround, and we expect it to have the same kind of performance with it recovering full production after the turnaround and earnings associated with that.
Matthew Blair: Great. Thank you very much.
Steve Bender: You're welcome.
Operator: At this time, the Q&A session is now ended. I will now turn the call back over to John Zoeller.
John Zoeller: Thank you again for participating in today's call. We hope you will join us for our next conference call to discuss our first quarter 2025 results.
Operator: Thank you for participating in today's Westlake Chemical Partners LP Fourth Quarter and Full Year 2024 Earnings Conference Call. As a reminder, this call will be available for replay beginning two hours after the call has ended and may be accessed until 11:59 PM Eastern Time on Monday, March 3, 2025. The replay can be accessed via the partnership website. Goodbye, and have a wonderful day.